Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Operator: 00:04 Good morning, and welcome to the Q3 Results Presentation for Hexagon. It's lovely to be here in the auditorium, in the building where our offices are and down on Haakon VIIs Gate in Oslo. And so nice to have a live audience here today joining us as well. Hopefully, we'll see more as time goes on. And welcome to all of our webcast participants. 00:28 My name is, Karen Romer, I'm the SVP Communications for Hexagon. And joining us here today in the auditorium is our CEO, Jon Erik Engeset; and our CFO, David Bandele. And then, we'll also be hearing from Eric Bippus, who is our SVP of Global Sales and Marketing, he will be joining us later. 00:51 Today's agenda will include CEO update, and that's where you will hear from Erik as well as Jon Erik, and then the financials, which will be covered by David. This will all be followed by Q&A. For those of you that are on the webcast, there is a Q&A window available, and it's open during the entire broadcast. So please feel free to just fill it in as you go along with the questions that you have. And of course, we'll be taking questions from the audience here. 01:24 So with that, I think I'll just turn this over then to Jon Erik. Thank you.
Jon Erik Engeset: 01:33 Thank you, Karen. Good morning, everyone. Thank you for joining us today for this Q3 updates, and I'm especially pleased to see people in real person after so many quarters on the webcast. 1:51 The quarter was not without challenges, but then we are even more pleased to report a strong quarter. So we're really quite pleased with the performance. Especially so in Hexagon Agility that continued to have a very strong order intake for RNG fuel systems. But also, Hexagon Agility mobile pipeline, which had a very strong rebound in the quarter. And what is interesting there unlike a few years ago when that business was booming less, it was particularly selling into the oil and gas shale segment in North America, while today we see a much more diversified customer mix, which bodes well for the coming quarters and years. 02:42 Hexagon Purus more or less doubled its revenue from the same quarter last year, and in the quarter we made an acquisition where it needs to be signed and entered into an agreement to acquire Wystrach, the long partner and customer of ours and then enabling vertical integration downstream in their business segments. 03:07 Year-to-date, our solutions have enabled the avoidance of seven hundred and ninety three thousnd tons of greenhouse gases. That translates into one hundred and seventt two thousand cars off the road for a year. So a significant contribution. 03:28 The -- as mentioned, there have been challenges and then I referred to the industry-wide supply chain disruptions, but still we had revenue excluding Purus of eight hundred and forty eight million kroner, up from seven hundred and sixty nine million kroner in the same quarter last year. And then revenue delivered an EBITDA of one ten million kroner, up from eighty five million kroner last year, which was also a very strong quarter for us. And on the Purus side, one hundred and three million kroner, negative EBITDA as this business is preparing for further growth in the years to come, coming back to that later on in my presentation. 04:15 Talking about the supply chain challenges for us, particularly the chassis shortage is a constraint that's not normally we supply the chassis. So that's on the customer side, but still we are unable to deliver and install our systems unless chassis are available to our customers. Also, battery cells continue to be a concern, as well as the semiconductors shortage, especially for our customer Volkswagen on the light-duty side. 04:48 We are focusing obviously on mitigating these effects. We are building up inventory wherever we can, and of course, we are sitting with our customers and talking about price adjustments. But more importantly, maybe long-term, we are focusing on delivering on our world-class manufacturing program to take out productivity gains and also, of course, grow the economies of scale and itself is also good for our margins. 05:23 As we speak, the Global Climate Summit is ongoing in Glasgow, and we continue to see a number of reports, commitments from governments, companies and others around the world. And a quite significant amount of money is being flowed into the green transition. And a big chunk of that is going into sectors that are relevant for us, which is why we maintain the outlook of significant growth. This is an old slide indicating a four times increase of our addressable market in the transportation sector, which we still think is valid today. 06:15 And we see now that the number of the participants in the industry space are seeing the same thing. And therefore, I'm happy to introduce Eric Bippus to tell a little bit more what we see in the industry.
Eric Bippus: 06:31 Thank you, Jon Erik. As you can see, we're expecting significant growth. Four times growth from now to twenty twenty five across compressed natural gas, EV and hydrogen solutions. In addition to our excitement over this, we're seeing OEMs now launched new technology, specifically focusing on this growth and the market segment that we feel we'll see the largest growth for compressed natural gas and that is heavy duty trucking and transit in both North America and Europe. And Cummins has announced the launch of their fifteen litre natural gas engines for heavy-duty truck. 07:04 And we're really excited, because this opens up two fifty thousand heavy duty Class-A trucks in that one thousand kilometer or more range. It's the most popular in the diesel variance, it's the most popular engine in North America. However, now that's available on natural gas with a improved engine efficiency. So the already attractive TCO of natural gas or for fleets looking for the extra carbon abatement and reduced emissions of renewable natural gas will have improved operating efficiencies, making the TCO even more beneficial than prior platforms. This is all part of Cummins effort, but by twenty thirty they can reduce their engine emissions by thirty percent, natural gas will play a big part of that. 07:49 Coming over to Europe now. We see another OEM step up with a new introduction and that's Scania with their thirteen litre natural gas engine for long-haul travel operations and these are transit operations four hundred plus kilometer miles. Today, natural gas, when we look at the offerings, it's primarily intra-city routes relatively shorter range. This engine allows us to go after the longer range routes where diesel occupies that space with renewable natural gas, bio gas solutions. 08:20 Once again, like Cummins, this is part of Scania's effort that by twenty thirty they can reduce their emissions of their entire engine platform by thirty percent and you can see that they expect significant growth in natural gas as much as half of that being powered by natural gas. So what are we doing, and the Hexagon Group to get ready for all of this growth. Excited to announce the opening of our commercial hub in Munich, Germany. It's opening this month, the month of November, and really we're replicating some success that we've had in North America and our commercial approach where we have factory installed applications, it's all around customer intimacy. We want to be close to our customers. We want to be close to our facilities and plants that we can improve lines of logistics and customer support. 09:05 It will be a one-stop shop for all clean energy solutions that the Hexagon Group offers from EV to hydrogen, hybrid, compressed natural gas, renewable natural gas. We will have application engineering, program management, commercial support and after-sales support in the market out of the Munich office. They are all part of our strategic agenda to really expand our global footprint. Many of our OEM customers are multinational and this -- the opening of this office just substantiates our growth in this various markets. 09:39 Now looking at capacity to meet this demand. Significant growth of four times in the market. We're looking at two times to three times growth in various markets as well. What are we doing in North America? We've already announced the fact that we're expanding our operations in Salisbury, which is already the number one Compressed Natural Gas systems plant in the market. We're adding cylinder manufacturing so that we can condense the footprint, supply chain and logistics of that market. It is strategically located within North American heavy-duty truck OEMs. And we're doing the same thing in Castle, Germany, so that we can supply for the market, from the market, both with commercial support, but also systems capacity support, cylinder support. 10:20 So as you can see, there's a lot going on within the Hexagon Group. We're excited about the growth projections. We're extremely excited to see the OEM stepping up with technology and you can see that we're preparing both -- in both markets to handle that demand. 10:35 Back to you, Jon Erik.
Jon Erik Engeset: 10:41 Thank you, Eric. Turning then to Hexagon Purus. They had their quarterly presentation on Tuesday. So I have borrowed the few slides from their presentation. The left side shows the growth year-over-year and year-to-date so far, sixty nine percent up from last year, which means that Hexagon Purus is ahead of its schedule. 11:05 As mentioned, the announcement of the Wystrach acquisition was an important milestone in the quarter, and we continue to see very strong commercial momentum across that business. Looking at their revenue in the quarter, you will see that the biggest chunk of the growth came from the distribution segment, followed by transit bus. Heavy-duty truck was actually down. That's a direct consequence of shortage of battery cells. But the distribution segment is growing very fast, and it is the first segment that comes into the commercial phase, it has already entered that phase and that is why the acquisition of Wystrach is such an important strategic move. Wystrach has been a customer of ours for many, many years, we know them very well, located in Weeze, Germany, supplied from our facility in Carson And European leader in distribution systems. 12:12 And by that acquisition, we many double our capacity in building systems as well of course as integrating vertically through the chain, enabling efficiency out take. And the business of today is approximately the same size as Purus. So on the pro forma basis, we expect an combined revenue in Purus, north of six hundred million kroner after eliminations. 12:43 And this picture is the same, we showed ahead of listing Hexagon Purus on the Euronext Growth Stock Exchange in December of last year, showing an twelve times growth projection from twenty twenty to twenty twenty six. And if anything, we think this growth is going to be stronger in this period, followed by then the real volume growth phase from twenty twenty six onwards. And as Hyundai recently said, hydrogen for everyone, everything and everywhere. So this shift is taking place and we are very pleased to be part of it. 13:35 So in summary, strong underlying growth, adjusted for FX fourteen percent quarter -- year-over-year, despite severe supply chain challenges. Strong rebound for the Hexagon Mobile Pipeline segment, and doubling of Hexagon Purus and -- with a further doubling when the Wystrach acquisition closes in the near future. 14:00 And with that, over to you, David.
David Bandele: 14:08 Thank you, Jon Erik. Okay. Let's discuss the third quarter twenty twenty one financials from Hexagon, and this is primarily excluding Purus. So highlights are, we posted seven forty two million kroner in revenues in Hexagon Agility and CNG LDV, and we'll see and demonstrate very strong revenues in heavy-duty truck. And as Jon Erik alluded to, this is despite the delays to chassis supply. 14:37 Very strong rebound in Mobile Pipeline, exceptionally strong, I would say, and we will cover that shortly. Seasonally low volumes in Hexagon Ragasco saying that we had promising introductory orders from leading customers in the Philippines, Greece, Trinidad and Tobago. And of course, SMART cylinder concept technology is progressing. 14:58 On Digital Wave, they had strong growth year-over-year on both technologies as ultrasonic and our modal acoustic. And then Hexagon Purus as Jon Erik has been through, ninety six percent revenue growth year-over-year is great and they also post a very strong order backlog. Our roughly seventy five percent ownership in the investment valued at five billion kroner. So that's satisfactory. And also note that Purus closed the quarter with zero point seven billion kroner of cash reserves. 15:30 So digging into the numbers on the left hand side. You see revenues were eight forty eight million kroner versus the seven sixty nine million kroner, that's a ten percent increase headline rates when we correct for headwinds at fourteen percent underlying growth. And the real big growth driver as I mentioned was Mobile Pipeline, it actually increased four times year-over-year. So very good to see the recovery, especially as it's been quite hit or quite significantly hit by the pandemic in twenty twenty and now we see that recovery taking shape. 16:02 Also, they closed the quarter with a very strong backlog, and not only Mobile Pipeline, but also the automotive business and that gives us a good feeling for the rest of the year. We'll go to EBITDA in the middle. We posted one hundred and the million kroner, that's a thirteen percent margin. Again, higher volumes from Mobile Pipeline, really helping the margins here. And again, we are facing headwinds from the pandemic-related higher input prices, but we can see that the volume effects have really overwritten them. So very good. 16:35 And when we go over to the right hand side, we look at EBIT, earnings before interest and tax. And we see that we recorded sixty one million kroner, almost doubling of EBIT year-over-year, and representing seven percent operating margin up three percentage points year-over-year. 16:53 Looking at the Hexagon Agility and CNG LDV segment alone. We see the pattern of growth. Year-over-year revenue is seven forty two million kroner over six thirty million kroner last year. So eighteen percent headline growth and twent three percent underlying after we basically adjust for currency movements. So the robust recovery in North America really helping drive that in that segment, but also strong sustainability driven US truck demand in the quarter. 17:22 And if you look over to the right hand side, you will see in purple Mobile Pipeline, twenty three percent share. This has been writing round about ten percent to eleven percent for the other quarters in the year. So you can see the extent of the recovery. But also US truck is still very much dominating heavy-duty and medium-duty truck with a forty one percent of share. Transit slightly lower at twenty percent and refuse truck low at six percent. This is just due to planned call-offs in the pattern of buying. 17:52 When it comes to the light duty vehicles segment in green on the right hand side, does say ten percent. I would say most of that sales though was actually contract manufacturing to Hexagon Purus. So you see the enormous distribution numbers in Purus. This sector actually is delivering the cylinders for now. They also deliver to Mobile Pipeline in the Middle East and Europe, and also some other customers. 18:22 Okay. So given that there are semiconductor issues ablating that area, there is still plenty of activity on the sites. On Hexagon Ragasco, the drop in revenues year-over-year. So eighty six million kroner, seasonally low, I'd say, slightly lower than that, and obviously lower than the same period last year. The big difference was, we did have a delay in sales from one of our major Asian customers, so hopefully moving on to Q4. 18:52 And then, when we look at the EBITDA side, you can see the effect there, four million kroner versus the eighteen million kroner same period last year. Now overall market demand remain strong. We talked about some of those introductory orders, but certainly the lower volume and slightly higher input prices have obviously affected the margins temporarily in Q3. 19:15 And Digital Wave, seventy three percent top line growth, that's great. And that's both, as I mentioned in Ultrasonic Examinations, as well as the Modal Acoustic Emission technologies. And the reason where we have the same breakeven EBITDA year-over-year is that, this year we've obviously invested significantly into the OpEx and have grown. 19:37 When we go to leverage, we can look at the orange bars on the far right at the top and the bottom. The top will show that we have a net interest bearing debt of zero point nine billion kroner, and that translates to the bottom of a very satisfactory leverage of two point two times for Q3. 19:58 So, let's look at the Hexagon Group financials. Some summary financials here. This is where we include Hexagon Purus, of course. And on the balance sheet, I start with the cash side to the left. You can see a slight reduction in cash in Hexagon, but still very robust at almost zero point three billion kroner. And on Purus side, down to zero point seven two billion kroner quarter-over-quarter so -- versus quarter two. 20:29 The other stand out there, as you can see some increase in our receivables, that's due to the increased sales that we're seeing. We have the same sort of increase on our payables. So the real change there is the inventory situation, as Jon Erik mentioned, and we've had a necessary buildup in inventories given the situation we're in. And it allows us to be more ready to deliver to our customers given the challenges. Otherwise, we closed with a equity ratio of fifty six percent and continued strong balance sheet there. 21:06 On summary for Q3 twenty twenty one, we always make this point, but if you look to the right hand side, this is the Hexagon Group numbers. So when your screen Hexagon Composites HEX.OL you will see eight hundred and seventy five million kroner in revenues and thirty million kroner in EBITDA. And of course, that hides the two distinct businesses that we have. The Hexagon on the left hand side, which I've covered, cash generating, double-digit EBITDA margins, one hundred and ten million kroner EBITDA recorded for the quarter. And then, of course, Hexagon Purus almost doubling its sales to one hundred and three million kroner year-over-year, but of course investing heavily in the organization buildup, and hence the negative EBITDA which then dilutes the group results. 21:51 But for Hexagon, in summary, despite strong headwinds a strong quarter, demand for heavy duty US truck remains very high. So Erik covering some of the drivers there. Strong recovery of Mobile Pipeline we see going forward and Hexagon Ragasco seasonally low volumes now but annual demand remains high. 22:13 So twenty twenty one full-year guidance, we've obviously just got one quarter left. Starting with medium and heavy duty vehicles. We see the sustainability driven demand is resilient. We do expect strong quarter four given our backlog to be continued momentum in heavy and medium-duty truck in North America, positive developments will continue in the European transit bus. But also we will see some -- hopefully, some growth in the North America transit bus to really deliver for Q4. We do, of course, caution that we are sure that there will be supply chain disruptions causing some delivery to delays, but the extent of that, we're not sure. 22:58 On Mobile Pipeline, we see the trend continue from Q3. Strong demand in delivery is expected to continue, especially the winter season, virtual interconnect projects in Northeast America. RNG continues to be a driver. It's a great boost to Mobile Pipeline and diversifying Mobile Pipelines offerings, but also mobile -- mobile refueling units, which has been a fairly new product area for us over the last twelve months, that continues to gain momentum. For Mobile Pipeline, some potential delay to chassis for our products, and that's mainly as a result of some of the challenges in steel supply. 23:47 On CNG LDV, not more to say really. Jon Erik has covered that well. So the situation we expect to continue. And in terms of our major customer, Volkswagen, they have had public statements anticipating that an improvement on the semiconductor issue would be expected around about mid twenty twenty two. And in the meantime, we will utilize the production capacity, again, for Hydrogen Mobile Pipeline and other businesses. 24:18 So Digital Wave, we see increased sales. We are also seeing increased market applications for our technologies. Looking at Modal Acoustic Emission testing services, these are now being extended to industrial gas customers, and also CNG modules. Good backlog of ultrasonic examinations systems. And as I said, the organization is continually primed to deliver on our future pipeline. 24:48 On Ragasco, we expect a positive uptick to end the year. We have solid demand from our recurring customers in South Asia and Europe. We expect new market-leading customers to make some entry then into Croatia and other parts of the Caribbean. And the SMART cylinders pilot program, we -- there are of course some impacts from the supply chain constraints to key electronic components even there causing some delays. However, we are still preparing for launch in twenty twenty two. 25:25 So since January, we have guided on three point five billion kroner for Hexagon, excluding Purus, and resulting in around about expectation of four hundred million kroner EBITDA for Hexagon excluding Purus. We haven't changed that guidance throughout the year. As we end Q3, we say despite supply chain delays, we expect Q4 to be strong. And therefore, we maintain the full-year EBITDA guidance. We see some softness on the top line more or less due to the currency headwinds from when we first guided, but our underlying demand is strong, and again, expectations are to reach the four hundred million kroner EBITDA guidance for twenty twenty one. 26:09 And one of the big reasons there is, if you start with Hexagon Agility, you can see that they are -- constitute seventy one percent of our year-to-date revenues. So it's important. And when that is working very well, we expect the ability to cover for the shortfall in Hexagon CNG LDV, and that's both heavy-duty truck and Mobile Pipeline. 26:30 On the Hexagon CNG LDV, you can see that that segment represents nine percent of year-to-date sales. But the portion that is impacted by the semiconductor issue, that's just five percent of our Hexagon total sales. And again those revenues have been replaced by, you can say, inter-company revenues with a different margin profile. 26:54 On Ragasco then, responsible for eighteen percent of our revenues, but even higher percentage of our profits. Again, a solid quarter to end the year and would be expected for Ragasco. And Digital Wave, they will continue to do what they're doing. They are on the two percent of our revenues. So guidance intact there. 27:18 So again, we reiterate the three big things to look out for in Hexagon. One is occurring now, continuous growth from the RNG uptake as a fast track alternative fueled to lower the harmful emissions. By twenty twenty two, we expect SMART cylinders on the LPG or Hexagon Ragasco's offering to accelerate adoption versus steel. And then as we move to the twenty twenty five area, we are looking for monitorized technology, MAE technology on board. All systems, all cylinders in our industry and that will really be a game changer, enabling continuous health monitoring and connected services. 28:03 And on that note, sponsored by Hexagon Clean Air Everywhere. Thank you. Karen?
A - Karen Romer: 28:11 Thank you. And if I can have both of you here that would be good. So now we'll open up for Q&A. For those who are on the live webcast, please put your questions in the question frame that's in the window you're viewing the broadcast in or you can also send to ir@hexagongroup.com. Do we have any questions in the room that we would like to take? 28:39 Okay. We will give you a chance to think about that. We did received a few in -- both are in webcast window. Okay. So, generic, you report that Digital Wave is delivering above expectations. Can you elaborate on how you see it developing?
Jon Erik Engeset: 29:04 So first of all, we see already strong growth. So what is so exciting about Digital Wave is that it is already delivering commercial sales. And at the same time, as David touched on, we are working on miniaturizing their MAE technology which will in turn open a much bigger market and also enable new business models. So early days, but we should expect that business to grow and to become an ever more important part of our product offering and also differentiating ourselves significantly from the competition.
Karen Romer: 29:46 Thank you. David, you reiterated the four hundred million kroner EBITDA guidance. So that means that in the fourth quarter Hexagon will deliver in the area of one thirty million kroner. Is that realistic?
David Bandele: 29:58 Yeah. We've actually done that before and so -- but it's highly realistic. The demand is very strong as I mentioned in US truck, that will continue. And with Mobile Pipeline really back online and Ragasco having another strong quarter, we see that as highly realistic. We do caution there are potentially delays, of course, but we've seen those delays as well in Q2. So, yes, we are confident on the four hundred million kroner.
Karen Romer: 30:28 Great. Thank you. There is another question. How are your component inventories and that way around your -- how are your component inventories and that way around your confidence to be able to deliver on all orders in? If I got a question but --
David Bandele: 30:48 No, I got it. I think, Jon Erik, touched on the mitigations that we're looking at. Now obviously, supply side is key. So you do see the increase in inventories, both the price per unit, but also the levels of inventory that we're holding in order to give us the best probability of being able to deliver on what is very strong demand.
Karen Romer: 31:09 Very good. Jon Erik, how does natural gas price affect your consumer choice or is affecting consumer choice in regards to natural gas mobility?
Jon Erik Engeset: 31:20 We don't see any impact of that today. Of course, also oil is going up and therefore diesel is going up. But I think the decision makers are much more focused on the longer trends. And then natural gas has had a remarkable stability over many years. And I think most market players expect to return to that state. So the current spike in gas prices is not considered to be a long-term stable level. And if it is a function also of the oil prices. So we don't see a real effect of that, at least, not yet.
Karen Romer: 32:06 Okay. Continuing on here. What effect of the increased composite prices have on tanks. Do you have sufficient access to raw materials?
Jon Erik Engeset: 32:14 So we've had to spend a lot of time on securing the material that we need, but we are now in a more comfortable situation we feel than a few months ago when there was shortage. But we were able to secure the necessary supplies. And then, of course, the other side of that is that the raw material prices have gone up. Also again, partly a function of energy prices, and that is a concern. So we need to look at other ways of mitigating that including having discussions with our customers. And if this raw material price level is sustained, then of course, that has to translate over time in higher prices for our products. But in the meantime, all parties have commitments, and therefore, we need to look at other ways of mitigating those cost increases short-term.
Karen Romer: 33:20 Very good. Has increased prices for materials increase the cost of production sites in Germany and the US as well as new factory for Purus in Canada?
Jon Erik Engeset: 33:32 It's a good question, and the short answer is, yes. Fortunately, we entered into several contracts before these building material price increases, but we cannot -- we will not be completely protected from those increases. So that's something we will need to look into and address, but we don't expect dramatic increases in construction costs.
Karen Romer: 34:03 And an add on to that question. How do higher energy cost affect their production?
Jon Erik Engeset: 34:09 Our production is not really very energy-intensive. So it is more derivative of the energy insensitivity of the fiber production, which is a significant factor.
Karen Romer: 34:23 Okay. Keep moving along here, safe theme. How do increased gas prices affect their customers and their willingness to invest?
Jon Erik Engeset: 34:32 I think essentially that is the same question that I answered earlier. We don't see the customers changing the market behavior at this point in time. For now, the environmental driver is the absolutely dominant reason for our customers to go green, and we have not seen any signals of change of mind in that respect.
Karen Romer: 35:03 Now over to Purus. The spin-off of Purus was a great success, but it ended in transfer of value and the business -- and the business ex-Purus is valued at close to nothing. There are number of things you can do about it, such as selling more share -- number of things -- there are a number of things you can do there, such as selling more shares of Purus or perhaps give more precise long-term forecast for both so we can better value the two businesses. What is your view?
Jon Erik Engeset: 35:33 That is two complex questions in one. And what I can say is that, we are first and foremost focused on supporting Hexagon Purus to realize its potential. And the spin off was part of that, the continued significant ownership by Hexagon. It's a part of that. And we think that there is tremendous value creation potential for both businesses. And we will just need to take the time to make those values visible to the investors. And I think quarter-by-quarter by demonstrating high order intake and improvement and delivering on our plans, we believe that is the best way of gaining or granting that investor confidence.
Karen Romer: 36:35 Thank you. David, you reported higher than normal inventory buildup, is that something you're concerned about?
David Bandele: 36:43 I think it's almost the same answer. It's more a concern if you don't in this environment. So back to ensuring that we can in a best way deliver on the customer demand. We need to have a higher inventory level. We expect these to be temporary, and hopefully it reverts.
Karen Romer: 37:02 Very good. And then a question about Ragasco. Ragasco had a weaker than expected quarter. Can we be optimistic in Q4?
David Bandele: 37:12 Yes. No, I mean, it was weak in Q3. I mean, historically Q3 has been the low quarter, but we did mention that there was one particular order that we expected to fall in Q3, and that was a difference really between Q3 last year. So that order should come through in Q4, otherwise, Ragasco would deliver. So we expect the usual good full year for twenty twenty one. So strong enough Q4.
Karen Romer: 37:45 Perhaps for you, Jon Erik, do you see more heavy duty OEMs switching to CNG offering. In the past, many refuse the idea, but it's clear that battery electric has a long way to go?
Jon Erik Engeset: 37:56 Definitely. That is our expectation. So long-term, we see hydrogen obviously as a very relevant choice, but in the foreseeable future, with the strong commitment now by both OEMs, but first and foremost, the big fleets, RNG is the only available option, and that is what is driving this market, and we see more and more fleets coming to the same conclusion.
Karen Romer: 38:30 Very good. And I think the last question I have here right now is for you Jon Erik. Are there other geographies you see as potential expansion opportunities?
Jon Erik Engeset: 38:44 Certainly. So there is a global market for us. We are strong -- very strong in North America. We have a strong foothold in Europe. But as Eric explained right now, Europe is still our focus area with the establishment of the Munich Commercial Center of Excellence. We are doubling up on our effort to be close to customers and participate in the market growth in Europe. Purus, obviously, in China very high priority, but there are other parts of Asia that we also should assume strong growth. South America has been a market for us, especially on the Mobile Pipeline side, and we see also new activity starting to develop. 39:37 Also on the hydrogen side, several of the Central American and South American countries are looking to transform their transportation sector by hydrogen. So opportunity is all over the place, but we need to prioritize and we therefore focus for now on North America, Europe, and then more opportunistically, I would say, on other geographical regions for the time being.
Karen Romer: 40:08 Great. Do we have any further questions from the room? I have -- I've gotten one additional here at the last minute here. It's noted that you posted Daimler on one of the slides. Is Daimler going back to offer CNG and LNG? I think that we're referring to the math that we have done and I think that was to show the proximity of the OEMs in the area. That's why it was --
Jon Erik Engeset: 40:40 Yes. So, Daimler obviously has been a leader on the hydrogen side. I cannot comment on whether they having their plans to go CNG or LNG.
Karen Romer: 40:53 Very good. Okay. Yes, we have a question in the room, and I'll repeat it for you.
Unidentified Analyst: 40:59 [Foreign Language]
Jon Erik Engeset: 41:57 [Foreign Language]
Karen Romer: 41:59 Yes. We've got a very nice complement from the -- from the room for being invited to actually attend the quarterly presentation in-person, and also complements to the management of the company so far. Good summary of what you said. We'll go with that.
Jon Erik Engeset: 42:17 If I can add to the question on Daimler. My answer was, of course, referring to the European market. So Daimler is a major player in North America also on the CNG side, just to avoid any confusion on that.
Karen Romer: 42:31 Yes, perfect. Okay. Well, I think we will say thank you to both our webcast audience and to everybody that was able to join us here today. And hope that you have a great day further. Thank you very much.
Jon Erik Engeset: 42:44 Thank you.